Operator: Good morning, ladies and gentlemen, and thank you for waiting. At this time, we would like to welcome everyone to Banco Macro's Fourth Quarter '25 Earnings Conference Call. We would like to inform you that the 4Q '25 press release is available to download at Investor Relations website of Banco Macro at www.macro.com.ar/relaciones-inversores. [Operator Instructions] Also, this event is being recorded. [Operator Instructions] It's now my pleasure to introduce our speakers. Joining us from Argentina are Mr. Juan Parma, Chief Executive Officer; Mr. Jorge Scarinci, Chief Financial Officer; and Mr. Nicolas Torres, Investor Relations. Now I'll turn the conference over to Mr. Nicolas Torres. You may begin your conference, sir.
Nicolas Torres: Thank you, and good morning. Good morning, and welcome to Banco Macro's Fourth Quarter 2025 Conference Call. Any comments we may make today may include forward-looking statements, which are subject to various conditions, and these are outlined in our 20-F, which was filed to the SEC and is available on our website. Fourth quarter 2025 press release was distributed yesterday and it's available on our website. All figures are in Argentina pesos and have been restated in terms of the units referring at the end of the reporting period. As of 2020, the bank began reporting results applying hyperinflation accounting in accordance with IFRS IAS 29 as established by the Central Bank. For recent comparison, figures of previous quarters have been restated behind IAS 29 to reflect the accumulated effect of inflation adjustment for each period through December 31, 2025. I will now briefly comment on Banco's fourth quarter 2025 financial results. In the fourth quarter 2025 Banco Macro's net income totaled ARS 100 billion, ARS 290.7 billion in fiscal year 2025 recurring from the loss posted in the previous quarter. The result was 26% or ARS 34.4 billion lower than the result posted in the fourth quarter of 2024. In the fourth quarter of 2025, the accumulated annualized return on average equity and accumulated annualized return on our assets were 5.1% and 1.4%, respectively. Excluding ARS 82.9 billion of nonrecurring expenses in the fourth quarter of 2025, net income would have totaled ARS 183 billion and ARS 393.7 billion in fiscal year 2025. And accumulated ROE and ROA would have been 6.6% and 1.8% respectively. In fiscal year 2025, net income totaled to ARS 290.7 billion, 32% lower than in fiscal year 2024. Total comprehensive income totaled ARS 303 billion and was 1% higher than the fiscal year 2024. In the fourth quarter of 2025, ARS 82.9 billion restructuring expenses were recorded related to our retirement plans and provisions for severance statements. Excluding nonrecurring expenses fourth quarter '25 net income would have been ARS 183 billion and fiscal year 2025 net income would have totaled ARS 393.7 billion, excluding the third quarter and fourth quarter 2025 nonrecurring expenses. Representing an accumulated ROE on our rate of 6.6% and 1.8% respectively. In the fourth quarter of 2025, operating income before general, administrative and personnel expenses, total of ARS 1.17 trillion, 39% or ARS 324.2 billion higher than in the third quarter of 2025 and 9% from ARS 94.4 billion higher than in the same period of last year. Fiscal year 2025, net operating income before general, administrative and personnel expenses totaled ARS 4.1 trillion, 33% lower than fiscal year 2024. In the fourth quarter of 2025, provision for loan losses totaled ARS 169.3 million, 1% from ARS 1.8 million lower than in the third quarter of 2025. On a yearly basis, provision for loan loses increased 243% or ARS 120 million. In Fiscal year 2025, provision for loan loses totaled ARS 538.1 million and were 274% higher than fiscal year 2024. In the quarter, net interest income totaled ARS 836.5 billion, 13% or ARS 96.4 billion higher than the third quarter of 2025 and 19% or ARS 135.9 billion higher year-on-year. This result is giving a 7% increase in interest income and a 1% decrease in interest expense. In fiscal year 2025, net interest income totaled ARS 3.1 trillion and was 44% higher than fiscal year 2024. Interest income of 8% while interest expense decreased 23%. In the fourth quarter of 2025, interest income totaled ARS 1.4 billion and 7% from ARS 91.6 billion higher than third quarter 2025 up 30% or ARS 324.1 billion higher than the fourth quarter of 2024. In fiscal year 2025, interest income totaled ARS 5 trillion, 8% higher than fiscal year 2024. Income from interest on loans and other financing totaled ARS 1.44 trillion, 3% or ARS 33.5 billion higher compared with the previous quarter, mainly due to a 141 basis points increase in the average lending rate, while the average volume of private sector loans remained almost unchanged. On a yearly basis, income from interest on loans increased 58%, were ARS 379.3 billion and in fiscal year 2025, income in interest on loans and other finance will total ARS 3.61 trillion, 13% higher than the fiscal year 2024. In the fourth quarter of 2024, interest on loans represent 74% of the total interest income. In the fourth quarter of 2025, income from government and private securities stood at 105% to ARS 306 million quarter-on-quarter and decreased 1% or ARS 6.2 million compared with the same period of last year. Fiscal year 2025, income from the government of private securities totaled ARS 176 trillion, 58% lower than fiscal year 2024. The fourth quarter of 2025 in terms of FX, the bank's strategy to remain short in U.S. dollar during the second half of 2025 proven successful. The combination of the short dollar position together with the [indiscernible] position and the allocation of the pesos generated by the sale of U.S. dollars resulted in a net gain of ARS 26.3 billion. In the fourth quarter of 2025, interest expense totaled ARS 565.1 billion, decreasing 1% or ARS 4.8 billion compared to the previous quarter and 50% higher compared to the fourth quarter of 2024. In fiscal year 2025, interest expense totaled ARS 193 trillion, 23% lower than fiscal year 2024. Within interest expenses, interest on [indiscernible] quarter-on-quarter due to 168 basis points decrease in the average rate paid on [indiscernible] the average volume of private sector deposit increase 7%. On a yearly basis, interest on deposits increased 48% or ARS 107.6 million. In the fourth quarter of 2025, the [indiscernible] net interest margin, including FX, was 21.7% higher than the 18% posted in the third quarter of 2025 and lower than 24.7% posted in the fourth quarter 2024. In the fourth quarter of 2025, [indiscernible] net income totaled ARS 192.4 billion versus 1% or ARS 1.2 billion higher than in the third quarter of 2025 and was 8% or ARS 89 billion higher than the same period last year. Fiscal year 2025, net income totaled ARS 767.4 million, which was 20% higher than fiscal year 2024. In the quarter, other operating income totaled ARS 72.3 billion 3% or 2.1% lower than in the third quarter of 2025 due to lower other income and lower service-related fees, which were partially offset by higher income from each [indiscernible] and on a yearly basis, our operating income increased 30% or [indiscernible]. In fiscal year 2025, our operating income totaled ARS 292.1 billion, a change from fiscal year 2024. In the fourth quarter of 2025, Banco Macro's administrative expenses plus employee benefits totaled ARS 412.4 billion, 15% or ARS 54.8 billion higher than the previous quarter, due to higher employee benefits, which increased 18%, and higher administrative expenses, which increased 8%. On a yearly basis, administrative expenses plus employee benefits increased 20% or ARS 68 billion. In fiscal year 2025 administrative expenses plus employee benefits were unchanged compared to fiscal year 2024. Employee benefits increased 18% or ARS 45.8 billion quarter-on-quarter. Compensation and bonuses increased 156% or ARS 68.7 billion. In fourth quarter of 2025, the bank recorded ARS 82.9 billion restructuring expenses related to early retirement plans and severance payment provisions. Excluding restructuring expenses, employee benefits would have decreased 8% or ARS 17.1 billion. On a yearly basis, employee benefits increased (sic) [ decreased ] 30% or ARS 67.5 billion, and excluding restructuring expenses, employee benefits would have been 7% or ARS 15.4 billion lower. In fiscal year 2025, employee benefits associated with personnel involved in restructuring expenses totaled ARS 49 billion. In the fourth quarter of 2025, efficiency ratio reached 38.7%, improving from the 46.5% posted in third quarter of 2025 and the 39.4% posted one year ago. In fourth quarter of 2025, expenses increased 13%, while net interest income plus net fee income plus other operating income increased 36% compared to the third quarter of 2025. It is worth mentioning that during fiscal year 2025 Banco Macro reduced its branch network by 75 branches down to 444 branches from 519 branches in December 2024 and reduced its headcount by 514 employees. All this was achieved while gaining market share, both in private sector loans and private sector deposits. In the fourth quarter of 2025, the result from the net monetary position totaled ARS 277 billion loss, 27% or ARS 58.6 billion higher than the loss posted in third quarter of 2025 and 5% or ARS 13.2 billion lower than the loss posted one year ago. Higher inflation was observed during the quarter, 189 basis points above third quarter of 2025. Inflation was 7.86% compared to 5.97% in the third quarter of 2025. In fiscal year 2025 the result from the net monetary position totaled ARS 1.05 trillion loss, 66% lower than the one posted in fiscal year 2024. Inflation in 2025 reached 31.5% compared to the 117.8% registered in 2024. In fourth quarter of 2025, Banco Macro's effective income tax rate was 42.7%. In fiscal year 2025 the effective tax rate was 43.1%, higher than the 9.2% registered in fiscal year 2024. Further information is provided in Note 24 of our Financial Statements. In terms of loan growth, the bank's total financing reached ARS 10.71 trillion, decreasing 2% or ARS 211 billion quarter-on-quarter and increasing 40% or ARS 3.1 trillion year-on-year. In the fourth quarter of 2025, peso financing increased 2% or ARS 196.4 billion, while US dollar financing decreased 20% or $407 million. In fiscal year 2025 both peso financing and U.S. dollar financing increased 36% and 12% respectively. It is important to mention that Banco Macro's market share over private sector loans as of December 2025 was 8.3% (sic) [ 8.6% ], increasing 30 basis points compared to December 2024. On the funding side, total deposits increased 8% or ARS 958.1 billion quarter-on-quarter totaling ARS 13.7 trillion and increased 24% or ARS 2.6 trillion year-on-year. Private sector deposits increased 11% or ARS 1.26 trillion quarter-on-quarter while public sector deposits decreased 33% or ARS 310.4 billion quarter-on-quarter. In increase in private sector deposits were offset by time deposits which increased 17% or ARS 978.5 billion while demand deposits increased 5% or ARS 308.1 billion quarter-on-quarter. In the quarter, peso deposits increased 3% or ARS 234.9 billion, while US dollar deposits increased 10% or $300 million. On a yearly basis, peso deposits increased 18%, while dollar deposits decreased 4%. As of December 2025, Banco Macro's transactional accounts represented approximately 47% of total deposits. Banco Macro's market share over private sector deposits as of December 2025 totaled 7.9%, 90 basis points higher than December 2024. In terms of asset quality, Banco Macro's non-performing to total financing ratio reached 3.87%. The coverage ratio, measured as total allowances under expected credit losses over non performing loans under central bank rules, reached 119.86%. Commercial portfolio non-performing loans improved 17 basis points down to 0.68% from 0.85% in the previous quarter while consumer portfolio non-performing loans deteriorated 93 basis points in the fourth quarter of 2025 up to 5.23% from 4.3% in the third quarter of 2025. In terms of capitalization, Banco Macro accounted an excess capital of ARS 3.6 trillion, which represented a capital adequacy ratio of 30.6% and Tier 1 ratio of 30.6%. The bank's aim is to make the best use of this excess capital. The bank's liquidity remained more than appropriate. Liquid assets to total deposits ratio reached 73%. Overall, we have accounted for another positive quarter. We continue to show a solid financial position. Asset quality remain under control and closely monitored. We keep on working to improve more our efficiency standards and we keep a well optimized deposit base. At this time, we would like to take the questions you may have.
Operator: [Operator Instructions] Our first question comes from Brian Flores from Citi.
Brian Flores: I have a first question here on your guidance. I just wanted to know if there is an update on the soft guidance you provided in the last months after the election. I think it was 35% in real terms for loans, 25% in deposits and low teens in ROE. So I just wanted to check if any of these variables in your view has changed. I know it's a very fluid environment in Argentina. So just checking on that. And then a second question just very quick. We saw strong security gains recovering from public securities. So I just wanted to understand how in your view would this be considered? Or how much would be considered recurring in nature and how much stemming from the volatility that we had in the election cycle?
Jorge Francisco Scarinci: Brian, this is Jorge Scarinci. Yes, on your first question, yes, we are going to maybe modify a little bit our guidance basically according to local consensus of economists are reducing a little bit the real GDP growth for 2026 to levels of between 2.8% to 3%. And also in addition to that, there is also the consensus is estimating a higher inflation for '26 compared to the one that we were working with in the last quarter of last year that was 20%, and now the new update is 27%. So due to those -- I mean, modifications on those 2 macroeconomic variables, we are also fine-tuning our guidance for growth for 2026. In terms of loans, we're expecting 20% real growth in the calendar year of '26 and deposit growth of 6% in real terms. Also, as you could see in this press release, we are -- we have started to report a kind of reported ROE and ROA and also an adjusted ROE and ROA due to the restructuring charges that we posted in the fourth quarter and we expect some other of this type to come between first and second quarter of '26. So in terms of, I would say, adjusted ROE for '26, we are working with a level of 8% area, basically in terms of ROE and in terms of ROA close to 1.8% to 2% area, right? So that is answering your first question in terms of guidance. In terms of your second question, in terms of the security gains, I would say that one of the main drivers for the weak quarter that we posted in -- as of September was a bad performance of the bond portfolio related to the increased volatility in the macroeconomic variables due to the election that -- or the midterm election that took place the 27th of October. And what we saw in the fourth quarter was a reversal of trend, some declining nominal and real interest rates and some rebound in the local peso securities that we hold in our portfolio. So I would attribute most of this to the repricing that we saw in the fourth quarter as a kind of an opposite effect compared to the one that we saw in the third quarter of last year.
Brian Flores: No, super clear. Just a quick follow-up on maybe the gap between loans and deposits, right? Because it used to be, I would say, narrower. Now it's widening. So I just wanted to understand, you are seeing basically a change in maybe the savings capacity of people, if you think maybe this, as you mentioned, this lower or slower GDP is translating into this change in behavior? Or any color you could give as to why deposits are at this expectation that is maybe significantly lower than the previous base case?
Jorge Francisco Scarinci: Well, first, we continue to hold almost 24% of total assets in terms of securities that could be used in case of that we need to finance the gap between the increasing loans and deposits. Even though that we continue to have a loan-to-deposit ratio, of course, below 100%. So even though in relative terms, we are growing or we are expecting to grow more in loans and deposits, but in absolute terms, the difference is not going to be the much. And besides of that, we are forecasting that, for the moment, real interest rates to be slightly positive, and that's why we are not forecasting a big increase in terms of deposits in 2026.
Operator: Our next question comes from Lindsey Shema from Goldman Sachs.
Lindsey Marie Shema: First off, I mean, we saw some continued deterioration in consumer asset quality and also seems like the macro scenario is still a bit tougher, but that there was some incremental improvement in cost of risk. So maybe just how are the early indicators looking for asset quality? And what makes you feel a little bit more constructive on cost of risk going forward? Or do you see that kind of deterioration coming back? And then for my second question, on the political landscape, it seems like labor reform is on track to be enacted. The vote is tomorrow. What do you think is next on the administration's agenda? And what do you as a bank really need to see to give you greater certainty going forward?
Jorge Francisco Scarinci: Lindsey, in terms of your first question, what we are seeing is that the speed of the deterioration of the consumer portfolio has been reduced. As you could see in terms of cost of risk, we posted slightly below levels of the one that we posted in the third quarter. In the first quarter, we are seeing kind of, for the moment, neutral news. I would say that it's kind of relatively stable in terms of the figures that we are seeing at least as of January compared to December. However, going forward, we expect to have maybe more positive news by the end of the first and second quarter of this year. That's why we are forecasting for 2026 a cost of risk of 5.2%. This is slightly below the 5.6% that we posted in the calendar year of '25. In terms of...
Juan Parma: Maybe Jorge, if I may add to that, this is Juan Parma. We took early action during 2025 by constraining loan origination back from April last year. What we are seeing is that in terms of new vintages and new origination, the performance of the vintages is better than the portfolio as a whole and back to the levels we used to see in 2024. So that recomposition of the portfolio with better new origination is what is actually driving the stabilization and positive outlook in terms of cost of credit. Basically, it's what we are seeing in the new originations that we tightened up since around April, May last year.
Jorge Francisco Scarinci: And Lindsey, in terms of your second question, I would say that in the last 3, 4 months, the government, I would say that is leading the agenda, managing all the political issues going on, like introducing the labor reform at the end of '25 and that was approved by the Congress in January by deputies in general and in February, deputies in particular, and also expected to have the Senate to approve it. Also, we expect our tax reform to come at some point in the next month or so. I would say that next Sunday, that is going to be the 1st of March, President Milei is going to open the ordinary session of the Congress and he is going to, in our view, give a speech on the coming reforms or projects to be sent to the Congress. So I think that we have to be clear-eyed for his speech next Sunday in order to have a more, I would say, better landscape of what's going to be on the agenda of the government in 2026.
Juan Parma: But I would say, adding to Jorge, that what we have seen after last year, a very positive outcome in terms of the midterm elections is the government using its political capital and its majority in Congress to push on their strategy to keep a tight monetary policy and a tight FX policy, focusing on reducing inflation while maintaining fiscal surplus and solving for the competitiveness of the economy by deregulation. So that's their strategy. They will try to improve the competitiveness of the economy by reducing the Argentina cost, right, both in fiscal terms with the tax reform, labor costs with the labor reform using their renewed political capital after the midterm elections. The recent approval that needs to be finally validated by Congress this Friday on the labor reform is a demonstration of that. And as Jorge was mentioning, we expect President Milei in his opening speech of the Congress session for this year to outline what is his agenda in terms of pushing reforms using this political capital through the year, and we expect that to continue. There is one comment that, I think, is relevant for the banking industry in the labor reform, by the way, which is that as part of the labor law, there was a relevant article that defined whether if banks or fintech wallets are the ones to pay salaries. And it was a positive outcome for the banking industry because the law confirmed that the only way to pay salaries or pension payments in Argentina is only through bank accounts, not through wallets or digital accounts. So that's a good outcome for the bank and for the industry as a whole.
Operator: Our next question comes from Yuri Fernandes from JPMorgan.
Yuri Fernandes: Congrats on the profitability recovery in the quarter. I would like to understand a little bit just the mark-to-market on the securities, like the trading gains. Like this line is always volatile, right? And it's hard to predict but if you can help us understand how to better think this line, how to better model and what drove like the -- probably the sovereign bond in Argentina, but I would like to understand also what drove the gains during this quarter. And then I can ask a second quarter regarding deposits. I guess I heard well, the 6% real growth. It sounds a little bit low, right? I think expectations for the industry was that deposits would still grow, I don't know, 20%, 25% in real terms. So my question is how to grow loans, right, with such a low potential growth of deposits? If you are seeing any change in reserve requirements. So just trying to understand a little bit like the message on liabilities.
Jorge Francisco Scarinci: I will start by your second question. Yes. Basically, I mean, I think I answered before, why we're expecting a 6% real growth in deposits on the fine-tuning of macroeconomic variables and also on slightly narrower positive real interest rate expected for '26. Even though that, we are expecting to grow loans by 20% in real terms. This is slightly below what we grew our loan book in '25. '25 was a great year, 40% in real term was a great year. And again, we have, as I mentioned before, this securities portfolio that in the case that loans are growing above what we are expecting can be used to finance the gap if deposits are growing at 6% and not growing more than that. In terms of your first question, it is not very easy to answer. I would say that because we have a combination of, I would say, 68% of our bonds that are tied to inflation and another 32% which are tied to variable rates. I would say that the best way to model this is what you are expecting for domestic prices or I mean, for inflation or the wholesale rate going forward. So that is going to be maintained. You are going to see a kind of [indiscernible] and steady income on a quarterly basis on our bond portfolio. However, if you are expecting some volatility there, on ups and downs that is going to affect the pace of the bond gains on a quarterly basis.
Operator: Our next question comes from Pedro Leduc from Itau BBA.
Pedro Leduc: We see NIMs recovering almost halfway here. At the same time, we're seeing still some credit quality pressures. Question to you is when we think about risk-adjusted NIMs for 2026, I know the average for 2025 is a bit weird to look at. But if you could help us understand a bit if the fourth quarter is a good starting point for us to build upon for risk-adjusted NIMs and what the drivers are for us to look at this line in 2025 -- '26?
Jorge Francisco Scarinci: I would say just as a starting point, the fourth quarter is kind of a reasonable measure. Going forward, we're expecting a little bit of pressure on rates, maybe on margins a little bit. So we finished '25 with a net interest margin on the area slightly above 20% and 21.5% approx. We're seeing this maybe in the level of 20% for '26. And as an opposite effect, we are seeing slightly below cost of risk in '26 compared to '25. So as overall, I would say that slight compression on the NIM adjusted by credit quality in '26.
Pedro Leduc: Versus the average of '25, no, but from the starting point.
Jorge Francisco Scarinci: Yes, from the starting point, yes.
Operator: Our next question comes from Pedro Offenhenden from Latin Securities.
Pedro Offenhenden: I wanted to ask on -- you mentioned additional personnel expenses in the following quarters. Could you help us to frame this remaining impact as how much of the total restructuring costs were already recognized this quarter?
Juan Parma: So maybe you can talk, Jorge, about the restructuring costs we booked in '25 and how much of that is still to benefit '26 and we can talk about what to expect going forward. Maybe I can take it both of it. From the ARS 82 billion that we booked in '25 concentrated in the fourth quarter, there are still ARS 36 billion of that, that will help personnel exits that will benefit '26. In terms of additional restructuring costs, you should expect similar numbers for the following quarters. But you should note that the condition for us to report an expense as a restructuring cost is one that will take out operational expenses on a permanent basis. So the likes of reduction in personnel that won't be replaced. That's what we define by restructuring costs. That's why in the following quarters, you should expect us to continue reporting with the same type of language being consistent to the point that restructuring cost is cost to take us out cost on a permanent basis. And in that sense, reporting or talking about reported and adjusted results and reported and adjusted ROEs, but we expect to continue in the following quarters with this action, which we believe is positive because it will end the year with a lower recurrent cost base for the company. And back to the previous point, compensating the margin compression that Jorge was talking about. That's why we are doing as inflation goes down, rates go down, margins compress, we are reacting on the cost side to compensate this effect.
Operator: Our next question comes from Carlos Gomez-Lopez, HSBC.
Carlos Gomez-Lopez: First, to confirm what you said earlier, which is that adjusting for the restructuring charges, you think that something like an 8% ROE for the year is realistic. Second, I would like to know if you have any update on your exciting acquisition of Personal Pay? Any update you can give us versus the call that you had 2 or 3 weeks ago? And finally, when you look at loan growth, I mean it has been coming down and down and down. And I mean, you are already giving us the expectation that it will be 20%, but actually 20% is an improvement from where we are today, when do you see the trend breaking and starting to see some more activity in the system? .
Jorge Francisco Scarinci: Thanks, Carlos. On the first question, yes, we think that including all these restructuring charges and all the guidance in terms of growth in both loan deposits et cetera, we are expecting to deliver an adjusted ROE in the area of 8% in '26. I'm going to the third question. I mean, our main business is to lend money. And of course, we would like to lend as much money as we can, of course, considering credit risk and all that. But of course, what we are not seeing for the moment is the economy growing at very high rates. So the guidance that we are giving is like between maintaining share and gaining a little bit of basis points in share. We are not reducing our share in terms of loans. And you can see in the quarter that we reported that we are growing the shares in both loans and deposits. So the idea is to continue in that path going forward. But of course, we need the macro economy of Argentina to push harder in order to see a high level of loan growth. In terms of Personal Pay...
Juan Parma: I can comment on that, Jorge, thank you. Yes. We announced the acquisition of 50% of Personal Pay, which is Telecom's wallet. This was a cash-in transaction. So all our equity investment went into the company to develop the company. This will be built as a bank-as-a-service business where we will, on one hand, work on engaging the around 30 million customers that Telecom have to use the wallet and then do financial intermediation with a bank-as-a-service model. As I think have explained when we talked about this with some of you in the specific call we had on Personal Pay about 3 weeks or 4 weeks ago, we have the option to do this through Banco Macro or do this through an existing or a new subsidiary of Banco Macro so we are considering those options while we build the technology and the services to connect the wallet with the bank as a service. So more to come on this front, and we will update you accordingly once we know how exactly this bank as a service model will be built.
Operator: Our next question comes from [indiscernible].
Unknown Analyst: I wanted to ask regarding the restructration, if you have any target for headcount and for a number of branches by the end of 2026 and which is the impact in ROE because of these restructuration charges?
Jorge Francisco Scarinci: I would say that in terms of both headcount and branches, we're expecting a reduction in both similar levels than the one that we saw in '25 just to give you some guidance there. And I would say that approx the impact on ROE in terms of these restructuring charges are approximately 3 percentage points. That is what we are calculating on '26 on the impact on restructuring charges on ROE.
Unknown Analyst: Okay. So just to check, reported ROE will be around 5%, then right?
Jorge Francisco Scarinci: Approximately in the area of 5% and they adjust it in the area of 8%.
Operator: Our next question comes from Matias Cattaruzzi from Adcap.
Matias Cattaruzzi: I wanted to ask you a question about the recent rise in dollar liquidity in the system. As it improved, how are you thinking about the possibility of gradually expanding USD lending beyond traditional dollar generating clients? Under what conditions would Macro feel comfortable lending dollars to nondollar earners, if at all?
Juan Parma: So I will answer from the bank's perspective. Then there is the question, which is around the enablement of this, which is a question around regulation. So as I listen to your question, I understand you're well-versed on how the regulation is today. So let me start by that in the benefit of others that may be not that familiar with it in case that's the case. Today, in Argentina, you can only lend dollar from depositors to clients that have their revenue streams in dollars. So basically, exporters. So that limits your ability to deploy dollar deposits to only those type of customers. With your own dollars, not the dollars from depositors, but the dollars from the bank, you can lend to anyone. The reality is that if you take the total deposits in the system denominated in dollars, they move from being 1/4 of total deposits measured all in dollars, 25% to now 37%. So there is an advancement of dollar-denominated deposits in the total deposits of the banking system as a whole. With this limitation, eventually, this creates a bottleneck because you cannot deploy those reports. So the government is exploring alternatives to evolve from that situation. If that was the case, and I cannot say when and if this will happen because this depends on a change on regulation, and I cannot speak to that. We are prepared to lend because it will be -- if the regulation changes, then it will be up to each bank to define the appetite to use that space and lend their dollar capacity. We are bullish on that. We believe that we can work with high-quality customers, both on the commercial segment and on the individual segment to deploy that lending -- that dollar lending capacity. So we believe that if that regulation evolves allowing this to happen, this will turn into something positive for the bank because we are in the bullish side of the market regarding that. But we depend on the regulation to change or to evolve to take advantage of that opportunity.
Operator: Our next question comes from Ernesto Gabilondo from Bank of America.
Ernesto María Gabilondo Márquez: Congrats on your results. Very close to a recurring ROE of 7% in 2025, if excluding the restructuring costs. My first question is a follow-up on the 2026 guidance. Any color on NPLs? Can you confirm you have reached the NPL peaks? And when do you see them trending down in 2026? Any color in terms of fee income growth and also in recurring OpEx growth, so removing the restructuring costs, how do you see recurring OpEx growth? And also, when do you see the ROE returning again to high teens? Can you walk us through over the next years? And my second question is on your loan growth expectations. We have seen a lot of investments announced in Argentina. So in your case, which would be the sectors that you are financing or that you are seeking to finance leveraging on these announcements? And especially you have a very strong capital base, so maybe you have the opportunity to finance projects with longer duration when compared to your peers. And the last question is in your capital ratio. How do you see your capital allocation this year in terms of buybacks, dividends or potential M&A activity?
Jorge Francisco Scarinci: I will try to answer all your questions. In terms of asset quality going forward in the same trend that we are seeing the cost of risk lower in terms of the level that we posted in average in '25. We're expecting also NPLs to go in the area of between mid to low 3s. That is in accordance with the 5.2% cost of risk that we are expecting for '26 compared to the 5.6% that we saw in '25. Basically, in terms of loan growth that you are on to asking, I would say that, yes, there are some investments that have been announced in Argentina in different sectors, mostly in energy, mining. Some of those investments are going to be done this year. Others are going to be done in '27, '28, et cetera. Of course, and it is also related to the other question that you asked, we have the best capital base in Argentina. And of course, we are expecting and prepared to finance those projects this year and following years. Of course, it is pretty sure that the bank wants to make the best use of this excess capital. And we have been trying to grow as much as we can in the past -- than we could in the past and going forward also in terms of dividend policy last year and also this year, we have a 100% payout ratio in terms of current dividend, that is this year is what the board is going to propose to the shareholders' meeting. And of course, we have to wait for the Central Bank to see if that dividend is going to be paid in 1 installment, 3, 6 or whatever. But again, we are working in order to clean down this excess capital going forward with the combination of organic, inorganic growth, cash dividend and if it is the case, on buyback programs, such as the one that we posted or put in place in the past. So it is pretty sure that we are very well prepared and positioned to take advantage of any positive news, both in the macroeconomic scenario and also within the financial sector in '26 and onwards. In terms of when we are going to be seeing mid-teens in terms of ROE, one thing to take into consideration is that maybe in 2028, Argentina would be entering to, again, I would say, nominal reporting because of '25, '26 '27, Argentina in the 3 years in a row we are having less than 100% inflation, we are going back to noninflation adjusting reporting. So we should be reporting nominal numbers and, of course, ROE since '28 onwards. So I think that's between '28 and '30, I think that is going to be the year where we are going to see macro delivery mid-teens ROEs and maybe something above that.
Juan Parma: And I would add to Jorge's comments that by the end of 2027, our restructuring program will enter in full effect in terms of being able to capture the benefits of the restructuring. So the restructuring costs that we talked about will continue mostly to '26, part in '27. So by the end of '27, entering into full effect in '28, we will be able to capture and harvest the full benefits of the restructuring program, okay? If you read into our press release and results announcement, you will see that the ARS 82 billion of restructuring costs are related with costs that in '25 were ARS 49 billion. So we cannot talk here about future savings of these actions, but you can read into that. So if we continue with this, you can also read into how much that full effect of restructuring costs could mean in '28. Coupled with what Jorge mentioned about the stopping if Argentina continues in the inflation reducing trend, moving from real ROEs to nominal ROEs in '28. So by then, I'm pretty confident that we will be able to reach the mid-teen ROEs going forward. You answered -- Jorge mentioned back to the question on financing projects, longer tenors and so forth. Jorge mentioned about the capital strength of the bank. I would also add the liquidity strength and funding strength from the bank because after the successful placing of negatiated obligations that we did last month, we have also extended our funding capacity to support such projects for -- in a range of -- for 3 to 4 years. So we expect that. The other reality is that companies in Argentina have been benefiting from the access to capital markets and issuing a substantial amount and a record amount, I would say, of U.S. dollar-denominated debt. But we expect that after that cycle, then private lending -- the private lending market will turn on, particularly if rates in the U.S. at some point go up, we expect this to be an opportunity for that. So we are keeping that liquidity remaining ready to support the energy sector, the mining sector, the infrastructure sector of Argentina that at some point will start to get traction, we believe.
Ernesto María Gabilondo Márquez: This is super helpful. Just a follow-up in terms of the NPL. So just to confirm, the NPL already peaked in the fourth quarter and you're expecting, for example, NPL to go to low to mid 3% and cost of risk to 5.2%. But how should we think about the timing throughout 2026? Is this something that will start to go down in the first quarter? Or is this something that will go down more in the second half of this year? So just a little bit of color on that.
Jorge Francisco Scarinci: Yes. I think that we might see numbers more on the positive in the second half of '26, some stable numbers in the first half of '26.
Operator: Our next question comes from Kaio Prato from UBS.
Kaio Penso Da Prato: I have a quick on my side, please. Just to follow up on loans. If you are already seeing any pickup in loans sequentially because it has been weak on a quarter-over-quarter basis or if this is expected to accelerate more towards the second half? And second is still on loans. You mentioned about this reduction in overall growth expectations and talked about GDP. But is there any segment that you are seeing specifically slow down? Or if this is mostly related to our appetite on consumers? So just some breakdown between both would be good as well.
Jorge Francisco Scarinci: We continue to see more service sectors as I mentioned before, energy and within energy, oil, gas and then you have mining, agribusiness sector. Those are the most active. The ones that are lagging a little bit are, I would say, construction, could be infrastructure for the moment, even though prospects for '26 of infrastructure are positive. Maybe massive consuming sectors are also not having a good performance. We expect these sectors as I commented to be the other leaders or the worst performance in '26.
Juan Parma: I would also add that there is a bit of a binary situation in terms of credit quality and risk in an economy which is opening, although deregulation at some point will come and help by reducing the Argentina cost. It is clear that there will be winning sectors and losing sectors. Probably on the winning side, is all the sectors around mining, energy, agriculture, also services, to some extent, commerce retail if economy starts to pick up. The manufacturing sector is the one that is under the spotlight now, and we are seeing some specific manufacturing sectors like the textile sector, the clothing sector, like the automotive sector suffering because of the opening of the economy. So another lens to look at is not only where we -- how much we grow, in average, but be selective given this significant change in the structure of the micro economy by sector in Argentina.
Kaio Penso Da Prato: Yes. Okay. But in terms of the loan, it's clear. But in terms of the loan growth, it's already improving sequentially? Or should we expect more of this growth towards the second half of the 2026?
Jorge Francisco Scarinci: I think well, always the first quarter is the seasonally lowest. So I think that it's going to be in a gradual increase trend towards the end of '26.
Operator: [Operator Instructions] There are no more questions at this time. This does conclude the Q&A section. I will now turn it over to Mr. Nicolas Torres for any final remarks.
Nicolas Torres: Thank you all for your interest in Banco Macro. We appreciate your time and look forward to speaking with you again. Have a good day.
Operator: Banco Macro's Fourth Quarter '25 Conference Call is now closed. You can disconnect now on, and have a wonderful day.